Operator: Greetings, and welcome to the PENN Entertainment Second Quarter 2024 Results Call. I would now like to turn the conference over to Joe Jaffoni, Investor Relations. Please go ahead.
Joseph N. Jaffoni: Thanks, Angela. Good morning, everyone, and thank you for joining PENN Entertainment’s 2024 Second Quarter Conference Call. We’ll get to management’s presentation and comments momentarily as well as your questions-and-answers. During the Q&A session, we ask that everyone please limit themselves to one question and one follow-up. Now, I’ll review the Safe Harbor disclosure and we’ll get into the call. In addition to historical facts or statements of current conditions, today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties. These statements can be identified by the use of forward-looking terminology such as expects, believes, estimates, projects, intends, plans, seeks, may, will, should, or anticipates, or the negative or other variations of these or similar words, or by discussions of future events, strategies, or risks and uncertainties, including future plans, strategies, performance, developments, acquisitions, capital expenditures and operating results. Such forward-looking statements reflect the Company’s current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from the expectations. The risks and uncertainties associated with the forward-looking statements are described in today’s news announcement and in the Company’s filings with Securities and Exchange Commission, including the Company’s reports on Form 10-K and Form 10-Q. PENN Entertainment assumes no obligation to publicly update or revise any forward-looking statements. Today’s call and webcast will also include non-GAAP financial measures within the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today’s press release as well as on the Company’s website. With that, it’s now my pleasure to turn the call over to PENN Entertainment’s CEO, Jay Snowden. Jay, please go ahead.
Jay Snowden: Thanks, Joe. Good morning, everyone. I’m here in Wyomissing, with our CFO, Felicia Hendrix; our Head of Operations, Todd George; and for the first time, we’re joined by Aaron LaBerge, our new Chief Technology Officer. Welcome, Aaron.
Aaron LaBerge: Thank you, Jay.
Jay Snowden: Aaron officially joined PENN on July 1, and as we’ve shared, he’s responsible for driving our technology strategy and execution as well as serving as the key business leader for our Interactive division. As most of you know, Aaron comes to us from Disney, where he had a terrific over 20 year career. In addition to his many accomplishments and accolades throughout his time there, Aaron was deeply involved in ESPN’s technology due diligence on PENN Interactive. While he’s only been on the ground at PENN for a few weeks, I thought it’d be good to open the call today with some of his early thoughts and key takeaways. Aaron?
Aaron LaBerge: Thanks. It’s really great to be here with everyone, and I’m really excited to have officially joined the PENN family. During my first couple of weeks, I’ve had the opportunity to do a deep dive with our Interactive teams in Toronto and Philadelphia, focusing on our product road map and growth strategies. I continue to be so impressed with this team, their world class capabilities, and the robust and scalable technology stack they’ve built. We’re currently live in 19 jurisdictions across North America, with New York going live in late August, pending regulatory approval. We currently have a user database of nearly 4 million unique digital betters that was built over the past 3.5 years. This strong foundation positions us well for continued growth and innovation. And, while we’re proud of our rapid expansion, we know we have some ground to make up, particularly in key feature categories such as parlays and player props. This is a consequence of the laser focus that we placed on our platform migration, rebranding and new state launches. However, I see this as an exciting opportunity to roll up my sleeves with our engineering and product teams to create a best-in-class experience for our customers. As we will touch on later, we recently introduced some significant product improvements, with several more in the pipeline for the coming months, and I am confident that we’ll continue to close the gap with our competitors. Our goal here is simple. We want to create the best product for sports fans by elevating how they find place and track their bets, both within ESPN BET and across the entire ESPN ecosystem. By delivering here, we’ll drive our monetization through enhanced engagement, retention and reactivation. ESPN and PENN share a common vision. We want to make ESPN BET America’s sportsbook. Sports betting is a key pillar of ESPN’s future growth, because sports betting content and connectivity drive user engagement. Collectively, we have a truly unique opportunity to create a frictionless ecosystem for fans to enjoy the sports they love and engage in sports betting. We are both deeply committed to making ESPN BET a top name with sports betting over the coming years. We don’t just want to compete here, we want to win. And with that, I’ll turn it back over to, Jay.
Jay Snowden: Thanks, Aaron. We are planning to host a meeting with investors during G2E at our M Resort property in Las Vegas on October 7. So, you can see firsthand the construction activity for the new hotel tower and property expansion there, and of course, get a chance to meet Aaron in person and hear a Company update from him and the rest of our Executive Management team. With that, let me turn back to the results for the quarter. As you’ll see on Slide 5 in our Investor Presentation, our retail business delivered solid quarterly results as our industry leading operators continue to execute across our portfolio. I’m extremely proud of the results our property teams continue to deliver in the face of ongoing competition and new supply. This quarter, we benefited from strong market share growth in several markets, including Ohio, Maryland and Iowa, coupled with continued momentum at some of our flagship properties, including Hollywood Casino at Greektown and M Resort in Las Vegas. We included a case study on Greektown on Slide 6, to illustrate how our recent hotel room renovations and the introduction of our first ESPN BET retail sportsbook have delivered impressive revenue and market share growth at this downtown Detroit property. You’ll recall, we successfully opened our first ESPN BET retail sportsbook for a multi-day NFL activation at Greektown, including live draft coverage at the casino by ESPN personalities. Revenues at the property are up more than 6.5% year-over-year, and we saw a 90 basis point increase in year-over-year market share growth during the quarter. We also included a case study on our Ohio properties on Slide 7, illustrating how our ongoing investments there, including refreshed casino floors, expanded high limit areas, best-in-class sportsbooks and new food and beverage offerings have resulted in strong year-over-year growth. Our Columbus property continues to be a standout performer, and we’re very excited about our ongoing hotel project there and the upcoming rebranding of our sportsbook to ESPN BET. Speaking of retail sportsbooks, on Slide 8, we listed the other upcoming brand conversions to ESPN BET across our portfolio in sports-centric markets. These will help to further our brand connectivity and create meaningful cross-sell opportunities in order to capitalize on the incredible growth we have seen in our database. As you’ll see on Slide 9, we are also making great progress on our exciting new growth projects, all of which remain on-budget and on-track to open by the first half of ‘26. We will provide some additional information about these projects at G2E. In our Interactive segment, top-of-funnel growth, improved risk and trading execution and refined promotional strategies contributed to record quarterly NGR, which helped narrow our Interactive segment losses quarter-over-quarter despite a seasonally slower second quarter sports calendar. Our revenues excluding the tax gross up were up by more than 65% compared to the first quarter, and we saw a $93 million adjusted EBITDA improvement from our first quarter results. As highlighted on Slide 11, ESPN BET continues to drive meaningful growth in both our digital database and our active user base, providing a strong foundation for future growth as we introduce new product improvements. Our PENN Play database now boasts over approximately 31 million members, including 3.8 million in our digital database, which is an increase of more than 80% since the launch of ESPN BET. We also saw more than 138% year-over-year increase in our monthly active users. Based on Sensor Tower data, we continue to hold the top three ranking in weekly active users among our top OSB and Daily Fantasy Sport competitors. People are active in our app, and our goal over the next several quarters is to drive higher loyalty and retention, and better monetize the significant engagement activity through an improved product and expanded offerings. Turning to Slide 13, improved risk and trading execution and a higher parlay mix helped contribute to higher hold rates this quarter. Looking at parlays as a percentage of total handle in Illinois, for example, ESPN BET was at 24.2% versus our top competitors at 34.5% and 23.8% respectively, and the rest of the market at 22.2%. As I’ve said before, ESPN BET is attracting a wider user base and more casual better, who really enjoy betting on parlays, and we will be adding additional parlay offerings and features to our product prior to week one of NFL season this year and over the remainder of 2024 to better engage and serve these customers. We expect to further increase our digital footprint with prospective launches of ESPN BET in New York subject to regulatory approval and with theScore BET in Alberta when the market eventually opens. We plan to maintain our disciplined approach to customer acquisition and engagement when we launch in New York. Despite the challenging tax rate, we will benefit greatly from ESPN’s extensive linear and digital reach there. Meanwhile, with both online sports betting and iCasino, we expect Alberta to be a very strong market for us, given the power of theScore BET brand in that market and the success we have seen in Ontario. As Aaron referenced, we are continuing to roll out new ESPN BET product enhancements, and we’ll be launching the remaining key upgrades prior to the start of college football season and our anticipated New York launch. As highlighted on Slide 17, this will include things like dark mode and improved home screen experience and navigation and a much more competitive parlay, same game parlay and player prop market offering, just to name a few. In parallel with our efforts, our partners at ESPN are expanding our unique ESPN BET media integrations, including those with ESPN’s leading Fantasy Football product, which will feature deep linked markets and personalized in app betting offers. ESPN Fantasy Football now boasts over 12 million active users, and before the end of the year, we plan to implement account linking capabilities to provide personalized experiences inside ESPN BET based on a user’s ESPN Fantasy team and ESPN favorites. You may have seen that Disney and ESPN recently announced an 11 year media rights extension with the NBA and the WNBA. Under the agreement, ESPN will have increased rights to utilize NBA and WNBA highlights and content within its sports betting coverage and to integrate our ESPN BET promotions. ESPN has also secured the rights to future NBA focused sports betting specials and series. Very exciting stuff and certainly highlights the tremendous value of our relationship with ESPN. Finally, we are continuing to improve our iCasino product offering by adding exciting new game titles from PENN Game Studios, while increasing the breadth of our third-party content and expanding our promotional capabilities. By early 2025, we expect to introduce our first standalone iCasino app, which will allow us to better leverage the strength of the Hollywood brand and robust casino database. I’ll now turn it over to Felicia, for additional financial details for the quarter, including guidance.
Felicia Hendrix: Thanks, Jay. Second quarter retail revenue results of $1.4 billion and adjusted EBITDAR of $497 million reflects continued solid performance at our brick-and-mortar casinos. April was the weakest month of the quarter with improvement through May and June. For our Interactive segment, adjusted revenues excluding our skin tax gross-up were $151 million a 65% sequential improvement over the first quarter of 2024. Interactive adjusted EBITDA in the quarter was a loss of $103 million up $93 million quarter-over-quarter and higher than the midpoint of our guidance reflecting top-of-funnel growth, improved risk and trading execution and refined promotional strategies. As usual, you will find on Page 8 of our earnings release a table that summarizes our cash expenditures in the quarter, including cash payments to our REIT landlords, cash taxes, cash interest and total CapEx. Of our total $88 million of CapEx in the quarter, $43 million was project CapEx primarily related to our four development projects. We ended the second quarter of 2024 with total liquidity of $1.9 billion inclusive of $878 million in cash and cash equivalents. Our liquidity will remain strong through 2024. As you know, we have no debt maturities until 2026, which are our $330 million convertible notes. We continue to expect our lease adjusted net leverage to peak in the third quarter of 2024, which is largely a function of our net leverage calculation including our trailing 12-month EBITDA, which captures the outside adjusted EBITDA loss we recorded in Interactive in the fourth quarter of 2023 as we were launching ESPN BET. As a reminder, on February 15, we received covenant relief under our credit agreement for the four quarters of 2024, and we continue to expect to exit the relief period by the end of this year as we will significantly delever starting in the fourth quarter and throughout 2025. By 2026, our Interactive segment will generate meaningful adjusted EBITDA, which will augment our strong cash flow in core retail business inclusive of the four retail growth projects. I will now provide guidance for our Retail and Interactive segments. Based on the second quarter results and our outlook for the remainder of the year, our 2024 retail guidance ranges are unchanged from the full-year guidance we provided last quarter. Our guidance continues to factor in stable customer demand, new supply in Nebraska, Illinois and Louisiana and road construction in a few markets. For the Interactive segment in 2024, our adjusted EBITDA guidance range improves by $15 million to a loss of $510 million to a loss of $460 million from our prior guidance of a loss of $525 million to a loss of $475 million. This revised forecast includes the anticipated impact of higher OSB gaming taxes in Illinois, which went into effect in early July and severance charges from our recent reduction in force at PENN Interactive. These items offset a portion of our $22 million upside to the midpoint of guidance provided on our first quarter earnings call. Our guidance also assumes the launch of ESPN BET in New York later this month and reflects our unique position of being able to leverage the reach of the ESPN brands in New York without a heavy promotional lift. As a note, our updated guidance does not assume a future launch in Alberta, Canada. For the third quarter of 2024, we expect to generate interactive adjusted EBITDA in the range of a loss of $135 million to a loss of $115 million. We expect 2024 corporate expense of roughly $105 million inclusive of our cash-settled stock-based awards. Total CapEx for 2024 will be approximately $500 million inclusive of $275 million of project CapEx. For cash interest expense, we forecast approximately $175 million for full year ‘24, before roughly $15 million of interest income. For cash taxes, we are projecting a small tax refund in 2024 and our basic share count as of the end of the second quarter was 152.1 million shares, and we typically have roughly 15 million of dilutive shares, inclusive of the 14 million share dilution from the converts. And with that, I’ll turn it back over to, Jay.
Jay Snowden: All right. Thanks, Felicia. I want to take a moment to recognize the incredible work of Justin Carter, our Chair of our Diversity Committee here at PENN, and all of our property leaders and team members across the enterprise. Our annual PENN Diversity Scholarship Fund recently awarded over $1 million in scholarships to the children of our team members, and we look forward to celebrating the graduating class of 44 scholars from the inaugural year of the scholarship program. This quarter, we also kicked off our annual corporate Days of Listening to gather feedback from team members on all matters of diversity and inclusion, and we were honored to be named by Diversity Magazine as one of the Best of the Best 2024 Top Diverse Employer. In closing, I want to reiterate that while 2024 is an investment year at PENN, our biggest losses in digital are now behind us. Looking ahead, 2025 will be a year of de-levering the balance sheet as monetization improves with ESPN BET, and we launch our standalone Hollywood iCasino app early in the year. By 2026, we expect all four of our growth projects to be open, and we will begin generating positive cash flow from our Interactive unit, as Felicia mentioned. Again, with Aaron’s addition to our team, we’re confident that we can build a market-leading product that will allow us to realize the power of our portfolio of leading digital brands. In summary, we’re all very excited for what the future holds in store for PENN Entertainment and its valued shareholders. And with that, Angela, if we could open up the lines for questions.
Operator: [Operator Instructions] We’ll take our first question from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, everyone. Good morning. Jay, Aaron, whoever wants to take this one, one of your competitors obviously talked about a very good customer acquisition market in the 2Q. You guys seemingly remained promotionally disciplined in the 2Q and obviously outperformed kind of your expectations, guidance, etcetera. As we move though into the August and start of college football season with a lot of the stuff that you guys are doing and acknowledging that you just provided 3Q guidance, how are you guys thinking about, kind of, the customer acquisition push in 3Q, and then maybe how that bleeds over into 4Q from the perspective of trying to get more people in the funnel to experience with the newer product and a lot of the new amenities that have been added?
Jay Snowden: Yes, it’s a great question, Carlo. Our assumption around customer acquisition obviously is completely built into the guidance for the rest of the year that Felicia provided. And, the environment right now is actually quite good. It doesn’t mean that we’re going to be super aggressive. It means that with the guidance that we provided, we think that we can continue to drive top-of-funnel, understanding, of course, that the most valuable and most efficient top-of-funnel we have is our partnership with ESPN. And, the deep integrations that we not only have today, but are going to have by the start of football season, a lot of enhancements in the ESPN media app, and then, of course, Fantasy, which we have a few slides on. So, I would say that with the environment being healthy right now, that allows us to continue to focus on top-of-funnel mostly through our relationship with ESPN. We’ll do some spending around that, but again, that’s all built into our guidance for the rest of the year. And remember, we have a digital database of almost 4 million and a lot of those digital customers only bet on football. So, there’s a huge reactivation opportunity for us and we think with the much improved product that we have and all of the new features that Aaron and I and Todd will talk about, I’m sure, throughout this call. We feel like we have an opportunity to drive better engagement, deeper loyalty and retention and monetization as we move forward.
Carlo Santarelli: Great. Thanks. And, then just if I could follow-up on the brick-and-mortar side. You guys it seems as though kind of margins have broadly stabilized in this 34% to 35% range. Obviously, summer months do tend to be a little bit more margin-friendly. But, as you think about the back half of the year, and then if you could just provide some color on the back half of the year, and then if you could, kind of, talk about what you think that the brick-and-mortar net revenue environment needs to look like in 2025 for margins to be flat or perhaps inflect favorably?
Jay Snowden: Yes. Todd, do you want to grab that?
Todd George: Sure. Thanks, Jay. And Carlo, great question. This quarter, obviously, there was a little bit of noise. In the South, we did have some disruption related to some weather impact from primary feeder markets. We also had a little bit of impact from hotel construction at our Lake Charles property. And then, in the Northeast, just a little bit of some accounting adjustments, some favorable last year, unfavorable this year as well as some table game hold percentage. I think when we think about the remainder of the year, the margins that we’re carrying right now, we feel comfortable going through the remainder of this year. As we look into next year, with the improvements we’re seeing in technology, a lot of our technology initiatives are offsetting some of the payroll creep we’ve seen. I think you may see a little bit in Michigan that was pretty highly publicized. But again, we do a case study on that, we’re offsetting a lot of that with the revenue growth. So, from a net revenue standpoint, I think we’ve weathered the storm with a lot of the new competition introductions. And, we’re looking at a pretty stable environment, not only for the back half of this year, but going into next year.
Carlo Santarelli: Okay, Todd. Sorry. And, just as related to something you said, obviously, it looks like the OpEx in the Northeast segment specifically spiked pretty aggressively in the second quarter, but was very calm in the first quarter. Obviously, the contract looking at last year kind of insinuate that if you smooth it out, things were pretty stable. Is a lot of that just as you mentioned, some of the accounting stuff and things of that nature that might have shifted quarter-to-quarter and this uplift is not a run rate uplift in OpEx, I should say, is not a run rate for the second half of the year?
Todd George: Correct.
Carlo Santarelli: Thank you.
Operator: Our next question comes from Joe Stauff with Susquehanna.
Joe Stauff: Thank you. Good morning. Jay, I wanted to see if you could maybe comment or share, on say, the retail conversion of the new digital customers that you’ve experienced since launching ESPN BET. Are these new unique customers to the whole PENN ecosystem, or are they retail customers essentially reopening, say an ESPN that account? And then, I’m wondering if you could comment maybe on the Pennsylvania Supreme Court case, could be somewhat favorable to you in Pennsylvania and whether or not we’ve seen this pattern certainly in other states, Kentucky, Virginia, and whether or not you think maybe there this could also occur in other states in terms of a source of growth going forward?
Jay Snowden: Joe, do you want to clarify the second part of that question again? I wasn’t following that.
Joe Stauff: Yes, just the pending case in Pennsylvania Supreme Court on skill based games, determining if they’re legal or not, is what I meant to ask.
Jay Snowden: Okay, got it. We’ll take a stab at that. I think the first part of your question with regard to the ESPN BET users and this pickup in our database, the lion’s share, 90% plus of the ESPN BET pickup are really new to PENN, which is great for us. We detailed in our last quarterly call how many of them live proximate to our properties, which is I think, lays out a great opportunity for us and especially as we convert more and more of our retail sportsbooks and rebrand them to ESPN BET and you have the name and brand recognition. So, cross-sell becomes even smoother. So, that’s all been good news and we would anticipate going into football season. That will continue to be the case. Obviously, we have a huge land based database that we can market to for ESPN BET in the states where it’s legal, of course, iCasino as well. But, we have an opportunity to continue to grow through the integrations that we mentioned earlier and all the cross-sell that we’re getting from ESPN. So, really good news in terms of incrementality to PENN and the brands and the awareness of that brand of ESPN. The Pennsylvania skill base, it’s a very interesting topic. We have been very vocal in our position that those skill based games are they sound, look, smell like a slot machine, and there’s a lot of concern around that. Obviously, we continue to fight against what has been a rapid expansion of skill based games in Pennsylvania through the court system. We think that we have a very strong position there. Our industry is very much aligned on fighting against the expansion of skill based games, not just in Pennsylvania, but around the country. So, we’ll see how things play out in Pennsylvania, but I think that my comments speak for themselves in terms of our position.
Joe Stauff: Okay, thanks. And, just maybe one quick follow-up, is there any best guess as to when a ruling may come out?
Jay Snowden: No. We would be completely guessing on that one, Joe. Not really comfortable putting out a date range.
Joe Stauff: Understood. Thanks a lot.
Jay Snowden: Sure.
Operator: Our next question comes from Brandt Montour with Barclays.
Brandt Montour: Good morning, everybody. Thanks for taking my question. Maybe first going back to Slide 10, Jay or Felicia, the sequential pickup in adjusted revenue was impressive. I was hoping maybe you could maybe split that out between OSB and iGaming, and where you saw those relative growth rates in the quarter?
Jay Snowden: Yes, happy to. Most of that growth because we’re talking NGR here was on the sports betting side. There is growth on the iCasino side as well, but we really didn’t have a whole lot of promo spend against iCasino last quarter relative to what it was in Q2. So, the biggest delta that you see there in growth in revenue is driven by more efficient revenue from on the growth side being that it’s flowing through to net as our promotional costs from the initial launch continue to come down. And, I think us just continuing to get smarter in terms of the promotions that we have out there for new users as well. So, really a combination of those two, but more driven by OSB.
Brandt Montour: Thanks for that, Jay. And then, a different question. One of your competitors announced a potential gaming surcharge to be launched for them in 2025. I know it’s not been out there for a long time and so you probably haven’t had a ton of time to mull it over. Could you just provide your initial reaction to that news?
Jay Snowden: Yes. We find it to be very interesting. It was unexpected from our perspective, but definitely interesting. I mean, you really as you think about PENN’s view on this, you should expect us to be observers. We have a lot going on in front of us right now over the coming quarters. So I would say, when you’re talking about a potential tax surcharge in early ‘25, like that’s it’s not even on our radar. It doesn’t mean that I hesitate to ever say never. It just means that we’re really focused on continuing to improve the product, continuing to drive top-of-funnel and loyalty and retention. And so, we would not be a first mover on something like that. We’re going to stay very close to it. We’ll observe, we’ll see what the reaction is assuming that it does launch in early ‘25, and then we’ll probably have more to share with all of you on our quarterly earnings calls throughout 2025.
Brandt Montour: Makes sense. Thanks, everyone.
Operator: Our next question comes from Joe Greff with JPMorgan.
Joe Greff: Good morning, everybody. Good morning, Aaron. Jay, can you talk about maybe how your new user acquisition strategies or tactics have changed or evolved given DraftKings’ recent plans to increase new user promos? And, how do you compete against that the same time you’re launching an enhanced ESPN BET platform in front of the football season?
Jay Snowden: Yes. I hit on it a little bit earlier, Joe, in terms of how we’re thinking about driving acquisition on top-of-funnel. We’re in this great position where we’ve got the deeper integrations with ESPN and their core digital products with ESPN media app as well as Fantasy. Fantasy is all brand new going into this fall season. And, even the deep links that we have in the ESPN media app, they’re going to be now no longer just in Gamecast, but on the scores tab, on the home screen, really anywhere where you see a score of an event of the major sports, you’re going to have that six pack of odds and deep links with ESPN BET. So, we’re in a very fortunate position where, obviously, that will drive top-of-funnel, that will drive a lot of engagement with our app. And so, that is extremely efficient for us and that’s going to be the biggest driver of acquisition. There is some other acquisition outside of ESPN that we’ll continue to pursue, but the lion’s share of acquisition for us is going to be through that ESPN channel. I would anticipate that the acquisition environment will, from our perspective, be healthy but be cost effective as well. And, we talked a little bit about New York in our prepared remarks. And, we’re going to continue to take a different approach, in terms of launching in New York versus what we did when we launched across 17 states in the fourth quarter of last year, and really lean a lot more on the product improvements, the integrations, of course, the connection that ESPN has with millions and millions of New York based sports fans. And so, that’s going to really be our approach where we think that based on everything that we covered and I just highlighted that we’ll have a steady flow of top-of-funnel. But, the biggest opportunity to be very clear, and mentioned this earlier also, is going to be around reactivation. We have this significant database. A lot of them are in the app. You see that in the Sensor Tower data. But, we need to continue to drive better retention and higher share of wallet. And, we think with all the product enhancements that we’re launching between now and the end of the month. And then, of course, throughout the football season, when you get to later in fourth quarter, we talked about being able to have account linking done with ESPN. That’s going to take personalization to a whole different level. So, the great thing about our relationship with ESPN is it’s a driver of both top-of-funnel as well as ongoing retention.
Joe Greff: Great. Thank you for your thoughts there, Jay. Separate topic, some of the financial media and even some of the gaming trade rags have reported a while back, and there’s been a lot of stuff reported in the Fantasy media with respect to you guys. But my specific question is, are you looking at selling individual assets, properties? And, if that is a focus, can you talk about maybe what the strategic rationale might be there?
Jay Snowden: Well, I guess at a high-level, Joe, and you’d expect this answer that we don’t comment, we haven’t commented and won’t comment on market rumors and speculation. What I will say is that as a Company and as a Board, we’re always and always have, always will evaluate opportunities to enhance value and we’ll continue to take actions that we believe are in the best interest of the Company and our shareholders. With that said, we’re very confident in our strategy and the value that it’s going to deliver for shareholders over the short-term, medium-term, long-term. So, that’s the way I would answer that question. And, I would say, don’t believe everything you read. And, with regard to your specific question on assets, just remember that our assets, land based assets are all part of different leases, and so it’s not as simple and easy as tough, you just sell off an asset. So, I don’t want to comment any further than that because then you are commenting on something that you said you’re not going to comment on. So, I’m just going to leave it at that.
Joe Greff: Appreciate it. Thanks, guys.
Operator: The next question comes from Barry Jonas with Truist Securities.
Barry Jonas: Hey, guys. Had one for Aaron. Welcome, Aaron. I know you just started, but curious if you have any early thoughts about how you see putting your imprint on the company and the ESPN BET strategy?
Aaron LaBerge: I think Jay I mean, Jay touched on a lot of them. I think we’re super excited about the integration with ESPN. We’re talking about Fantasy this year. Jay just talked about account linking that’s going to come in November, which if you think about ESPN’s digital and social reach today, I think last month it was 181 million users. So, when you think about knowing the fanability, personalization, usage preferences of all those people and then being able to target them, whether it’s introducing them to sports betting or people that are already sports betters, giving them personalized offers and then moving them seamlessly between the apps with no friction, it is a massive opportunity. And what we know is no matter what platform that you bet on today, you place your bet and then you’re on ESPN tracking your bet and consuming information to try to piece together where you’re at in a parlay or whatever. And being able to place a bet on ESPN bet and then seamlessly package together the way to track that bet and make it more efficient and frictionless, we think is going to be a huge competitive advantage for us and something that no one else can do, and we’re really focused on that. That’s very exciting. And the teams are already working together in a way where it doesn’t even feel like they’re separate teams. So, it’s coming from ESPN, I think that’s super exciting. I think the opportunity someone mentioned in the previous question with the land based casinos and the size of that database, which I don’t actually know if we share that, but it is actually quite massive and being able to take people from that environment, move them into ESPN BET and then further move them into our iCasino products is super exciting, too. So beyond that, focusing on product experience, making sure that when people interact with our products, it feels good, it’s frictionless, and it’s fun to use is what I’m going to be focused on.
Barry Jonas: That’s great. And then, Jay and maybe Todd, there’s been concerns around the macro specifically at the low end consumer level. Can you maybe talk a little bit more about what you’re seeing across the database?
Jay Snowden: Yes, I’ll take a stab, Todd, feel free to jump in. Really no change from what we have said previous quarters. We saw very consistent trends in the second quarter as you see in our results. July, remember that you have calendar shifts. People seem to forget that oftentimes. So, you traded in the month of July. You lost a Saturday, Sunday and picked up a Tuesday, Wednesday. That’s going to impact your top line results. In August, you benefit from a calendar shift. So, my expectation would be that year-over-year August looks better than July. We really -- it’s interesting because we’ve been hearing from some of the lodging companies as well as from air travel that they’re seeing some cracks in that lower end consumer. We’re not seeing anything incremental in regional gaming or in our digital trends. So, I mean, it is interesting dynamic that if people are staying or they’re traveling less, whether it’s air travel or they’re staying in hotels less, that tends to be beneficial for regional gaming. People are staying closer to home. It’s a drive and gas prices are actually quite stable right now. So, it all adds up to, I think, what could be just a good stable environment for us. We’re not seeing anything from an incremental standpoint that concerns us right now.
Todd George: Yes. The only thing I’d add, that little more detail, that 50 to 99, even the 100, 399, 400 plus, all very stable throughout the quarter year-over-year. And then just a little bit, I think Carlo touched on this in his question, but we did see really decent play from our unrated segment. So that kind of offset anything that we saw in the lower segment, that 0 to 49. But even that was stable. And even though it’s early in August, we’re seeing really positive trends the first few days of August.
Barry Jonas: Great. Appreciate it. Thanks.
Operator: Our next question comes from Shaun Kelley with Bank of America.
Shaun Kelley: Hi, good morning, everyone. Aaron, maybe a strategic question for you to lead off and then welcome. My question is really at this rate. As we think about the digital side here, kind of feel like there’s two major technology areas. One is going to be the marketing side, targeting, retargeting, AB testing, all that stuff. The other is going to be the pure engineering side and I think Jay has done a great job of outlining some of the product improvement. I’m curious given your background in streaming, could you talk a little bit about how you think about allocating resources between, let’s call it, marketing and advertising tech versus core engineering? And kind of where do you lean and what are you most excited about as you kind of take your streaming skills and think about betting? Thanks.
Aaron LaBerge: Great question. Well, so what I’m most excited about, and I got a view of this as we were doing the partnership with PENN, is the underlying foundational infrastructure that powers ESPN BET is incredibly sound, super sophisticated and is the foundational piece in which we’re going to build everything on top of. And so, this isn’t an engineering project to come in and fix something that’s broken. It’s something that we’re going to build on top of. And so right now, and I mentioned in our remarks, we sort of lagged our competitive set in terms of full features and functionality, and being able to quickly build on top of that foundation to iterate the product, I think, is super exciting. I think marketing and acquisition is just part of the business. We’re going to continue to get smarter and better there, and I think some of our results show that we’re already doing that. So, to me, it’s about building the best product and then really taking advantage of the integration opportunities with ESPN, which will also require some technical sophistication, and of course, that’s one of the best teams in the world as well. So, just super excited about all of it.
Shaun Kelley: Thank you. And maybe just as a follow-up and a little bit more about the numbers. For Jay or Felicia, I think last quarter you gave a little bit of detail around kind of the promotional cadence as a percentage of handle. This quarter we didn’t get those stats, but you did give us some more detail on hold and parlay mix. So, my question is simply like just could you give us an update with the percentage of handle as we think about the promo this quarter versus last, was that relatively stable and what really changed was hold this quarter? Or have you continued to sequentially kind of improve on your promotional cadence? And how do we think about that trend in the back half? Thanks.
Jay Snowden: Yes. Really, it was a combination of the two. Our promotional reinvestment as a percentage of handle came down from Q1 to Q2. Obviously, we had a slide that we shared there on the hold percentage. So, it was a combination of those two things. We anticipate when you kind of look out to 2025, our promo reinvestment rate being between 2% and 3%, like, right in that mid-market range. We don’t expect to be high or low. We just want to be really at market as a percentage of handle. It’s hard to anticipate exactly what it’s going to be in the third quarter just because you do have the New York launch and again, we’re approaching it very differently. It might tick up a little bit, but nothing material and then probably come back down again in Q4 is what I would anticipate.
Shaun Kelley: Thank you very much.
Operator: Our next question comes from Chad Beynon with Macquarie.
Chad Beynon: Good morning. Thanks for taking my question. You mentioned some of the cost improvements on the interactive side that led to the beat for the quarter. Jay, obviously, not to go any thunder for the investor presentation in October and kind of the launch for NFL. But has anything changed just in terms of the path to profitability, the timing of that? And if 2025 is that important or if maybe we should kind of look out to ‘26 in terms of getting all the benefits from what you’re doing internally that will be rolled out soon? Thanks.
Jay Snowden: Yes. We’ll probably spend more time on this topic at G2B at the Investor event. So, I won’t say a whole lot other than to say nothing’s changed in terms of how we’re thinking about ‘25 and ‘26 from what we said in the last quarter call.
Chad Beynon: Okay. Thank you. And then in terms of Alberta, we definitely sensed your optimism there in terms of what that could be from a contributing standpoint. What is the timeline there? And are there any major differences in terms of the current dynamics with maybe gray market players or kind of how you see that market to go green?
Jay Snowden: Thank you. Yes, happy to. Market is very similar in terms of gray market today and regulated soon. We don’t have an exact date on that, Chad. We don’t have an exact date on Alberta, and I don’t want to speak obviously for the government or the regulators there. But I would say, we’re thinking sometime towards the end of this year, early 2025 is kind of the rough time frame. We would anticipate that the success that we’ve seen in Ontario with theScore and theScore BET, we would be able to replicate that in Alberta. TheScore is a very popular brand throughout Canada. It’s not just a Toronto or Ontario thing. So, given the success we’ve had in Ontario and given that Alberta will have very similar tax rates as we understand it and be both OSB and iCasino, we think it’s going to be a really important North American market for us, probably a top three or four market for us.
Chad Beynon: Interesting. Thank you very much.
Operator: The next question comes from Dan Politzer with Wells Fargo.
Dan Politzer: Hey, good morning, everyone, and thanks for taking my question. First one on Interactive, I think in your slide deck, you outlined your hold in the quarter in a select number of states. I think it was 8.2%. How should we think about that kind of evolving over time? Is there a long-term target, time to get there? And then similarly, is there an underlying trading and risk management opportunity? And I only ask that some of your peers have really been building out that aspect of their tech stack. Thank you.
Jay Snowden: Yes. Say a couple of things about hold percentages. I think it’s important to note that we really haven’t changed our assumptions from last quarter to this quarter in terms of what’s built in for guidance for the rest of the year still in that 7% to 8% range. So, if the trends that we have delivered of late the last quarter and July as those results come out, there could be some opportunity for upside there potentially. So again, it’s a different time of year. You tend to hold a little bit better during the slower season of baseball. And so we’ll see how that plays out, but we feel really comfortable in terms of what’s built into guidance and where we think we could end up trending as we close out ‘24 and heading into ‘25. I think as we think about the opportunity sort of medium term for us, FanDuel has been in a class of their own from a hold rate perspective because their parlay percentage, excuse me, is best in class. And what we’re seeing already, keeping in mind that our parlay offering is going to be significantly better at the start of football season than it’s ever been. And I say that with regard to same game parley, parley just data feeds and player props, all sorts of things that without getting into too much detail, it’s going to be a significant improvement enhancements from what people experienced last year when we went live during football season. So, we think that at PENN, with ESPN BET, exactly what Aaron said in his prepared remarks that we want to be the America’s sportsbook and that’s going to mean that you’re really catering to the masses and there’s a lot of casual betters in there who love parlays. We’re seeing that already. And I think for the Illinois example, for us to be sort of sitting at a number two position in terms of parley as a percentage of handle when our parley offering hasn’t been as competitive as it’s about to be at the start of football, we think there’s a lot of opportunity for us to continue to close the gap between us and FanDuel in terms of parlays, excuse me, as a percentage of handle. And with that will come an improved whole percentage. I’m not saying that we’re going to get to FanDuel letters, not going to give you a time frame, but clearly there’s a big opportunity for us to continue to close that gap over time as we improve the experience for those that like to bet on parlays and overall just bet inside the app.
Dan Politzer: Got it. That makes sense. And then just as a follow-up, maybe I missed it, but on for the guidance, did you provide an online revenue number? I know previously you’d given that, but perhaps I missed it.
Jay Snowden: No, we didn’t, but you should assume it’s still within that range. Maybe it’s a little bit higher than the midpoint, much like the EBITDA was a little higher than the midpoint, but we didn’t provide it, but that you should assume that it’s still within that range.
Dan Politzer: Got it, thanks so much.
Operator: The next question comes from Bernie McTernan with Needham & Company. Great.
Bernie McTernan: Good morning. Thanks for taking the question. Just with the strong growth in NGR in the quarter, I know you talked through promotional intensity falling off. And maybe can you walk through some of the other puts and takes in the sequential growth between handle and GGR?
Jay Snowden: You want to take Todd?
Todd George: Sure. Yes, Bernie, listen, great question. I think the promo was the primary driver, but you start looking at just seasonality is a huge piece of this. So again, that converted customer from ESPN, the converted customer from our PENN Play database that’s moving over, all of that comes over pretty frictionless. So, they’re just going into the app. I think that’s benefited all of us. And then the improvement in hold percentage kind of again was the big driver there.
Jay Snowden: Keep in mind to Todd’s last point on hold percentage. One of the real benefits that you get from higher hold percentage is that a lot of our expenses, third party expenses, data feeds and geolocation, etcetera, payment processing. Those are driven by handle, right? So, when your handle is maybe more stable, but your whole percentage is higher and your revenues are higher, it’s a great mix in terms of how that flows through the P&L and we would anticipate that dynamic for PENN continuing given the upside I mentioned earlier on parlay percentage and whole percentage upside.
Bernie McTernan: Yes, makes a lot of sense. And then, Jay, you pointed to ESPN having greater rights to add betting content, given their new NBA deal. I was just wondering if you could add any specifics in terms of what ESPN couldn’t do under the prior deal and what they might be able to do in the future with the new deal?
Jay Snowden: Yes, maybe we will spend a little bit of more time on that. In October, at the G2E event. It’s a great question. I don’t want to speak for ESPN. What we shared is what was public, but maybe we can get some more information from them or have a representative there to answer that question in more detail, if that works, Bernie.
Bernie McTernan: Perfect. Thanks, Jay.
Operator: The next question comes from Ben Chaiken with Mizuho.
Benjamin Chaiken: Hey, thanks for taking my question. For Aaron or maybe Jay, whoever wants to take this, in the deck and on the call, you’ve referenced a few different initiatives for the OSB product, several of which are ESPN that integrations into traditional ESPN products, which as you mentioned are top of the funnel initiatives that make a lot of sense. I guess what’s your thought on going the other way as well and integrating more ESPN content into the ESPN BET app? So team statistics, player stats, relevant news, etcetera. The idea being to facilitate the wagering process for betters and hopefully make them sticky users of the app. I mean, to some degree, you do this already with theScore BET and the game preview functionality. It just seems like a significant differentiator amongst betting apps that can struggle not to become a commodity and would love your thoughts. Thanks.
Aaron LaBerge: I think if you look at what we’re doing with theScore BET, including the recent integration of or excuse me, of theScore Media app with the integration with theScore BET, we’ve now integrated ESPN BET there too, which I think points to some of the things that we’re looking to do with ESPN. When we think about the fan, ESPN BET and the ESPN app are inextricably linked. And so moving between those two environments and where you want to consume content and how you consume it, we aren’t going to necessarily care where that happens. And so that line, obviously, we’re currently working with ESPN to make sure it makes sense. But the goal is that you can move between these apps really fluidly and get what you want, where you want it. Like for example, when we have account linking in November, if you place a parlay on ESPN BET, it’s going to appear in the ESPN app. You have to do no work. It’s going to be seamless. So, as I mentioned before, you place a bet and then you’re struggling to figure out how that bet’s performing because you have a four leg parlay and you’re on ESPN.com and you have multiple tabs open. We’re now going to package that for you with no work. And if anyone here has placed a parlay more than two or three legs, you know that’s a struggle. And so, it’s just going to be like magic for you to actually consume that within ESPN. And we look at that in both ways. As we think about you look at Gamecast on ESPN, which is a real time visualization of a game in progress, well, imagine a BetCast version of that for your bets. Well, whether you track that with an ESPN or an ESPN BET, the module, the content, the experience will be the same across both platforms and will appear in both platforms. So, the essence of your question is it’s going to be seamless across both platforms, and we’re really just thinking about what that looks like and what our plans are. But it’s one of the major focuses between the teams as we speak.
Benjamin Chaiken: Got it. Thank you.
Operator: The next question comes from Jordan Bender with Citizens JMP.
Jordan Bender: Good morning. Thanks for taking my question. It’s been some time since we’ve spoken about it, but the three Cs initiative, I believe that remains an important initiative for the company. So, can you just kind of give us an update on how that’s performing at the properties, financial, operationally, etcetera?
Todd George: Sure. This is Todd. Great question. And we will talk more about this also at our G2E event. But basically, we’re seeing really nice adoption from all levels. And that was one of our priorities as we’re going in. We didn’t want this just to be for that younger cohort. So, we’ve seen that go across all levels regardless of age and level of play. So, you get this great advantage of greater time on device, removing friction from every transaction, taking people out of line, keeping them at whether it’s a slot machine or a table game. Rich Primus and the team have just done a remarkable job of with each iteration, making it easier and easier for adoption. So, I think as we go through, we’re probably over about 80% of our EBITDA driving properties right now, and we’ll look to see where we go next. But it’s both on the revenue side and then I think I touched on earlier with technology used to offset some of the payroll expense.
Jordan Bender: Great. And then just on the follow-up, the NFL season just a couple of weeks away here. Is it fair to assume that when you close the New York license for sports betting, the online product will be essentially ready to go the next day?
Jay Snowden: That’s correct. Yes. You should assume that we’re live in New York before college football week one, which is the end of this month. And when we go live and we try to time it up as you can appreciate that all of these feature enhancements that we’ve talked about would be live when we go live in New York. So again, great first impression. That’s why they’re so close together. But we anticipate New York end of this month before college, week one.
Jordan Bender: Great. Thanks, Jay.
Operator: The next question comes from Ryan Sigdahl with Craig Hallum.
Ryan Sigdahl: Hey, great. Thanks for taking my question. Just one following on that launch timing. So, a lot of the innovation and enhancements and integrations similar to what you’re talking about three months ago, we haven’t seen much integrated thus far effective in the app. But I guess how much was the intention all along to launch everything all at once versus phased updates in the app to users?
Jay Snowden: Yes. Ryan, I think you’ll see there was actually some that went live yesterday, and you’re going to see it sort of happen over the course weekly between now the end of the month. But everything that we have in those few slides that talks about product, ESPN BET, product enhancements, all of the enhancements around parlay and same game parlay and player procs, all of those integrations. What we laid out in our deck here is what you’re going to have when we go live for football this year, so in the next few weeks. There’s a lot of testing that goes on behind the scenes. We want to make sure that we’re very comfortable when we go live, that it’s going to be seamless and very user friendly. So that’s where the work has been over the last couple of months. But you’ll start seeing these go live really weekly between now and the end of the month.
Ryan Sigdahl: Thanks. Good luck, guys.
Jay Snowden: Okay. We’ll maybe take one more question, Angela.
Operator: Okay. Our last question comes from Stephen Grambling with Morgan Stanley.
Stephen Grambling : Hey, thank you. I guess as we have a little bit more time under the belt with regard to customer acquisition and ramping of customer spend, what is the typical maturation of player economics as we think about revenue and profit contribution? And then in the guidance, I think you’ve got flat digital contribution in the fourth quarter. Do you anticipate being profitable in New York by that point or longer term?
Jay Snowden: Your acquisition question, I think we’ll tackle that at G2E. That’s a little bit more detailed, so I want to give a thoughtful response to that. With regard to New York, tax rate is high, as you know, and so we’re going to be very thoughtful, as I mentioned earlier, around user acquisition and really lean in on the ESPN BET ecosystem, tremendous millions of fans that are connected to ESPN and their products that we’re going to really work to cross over into ESPN BET. I don’t want to give a time frame on exactly when that’s going to inflect to profitability only because we need to see how things go. So again, that might be one that we can answer a little bit more intelligently at the meeting in October because we’ll have been live for a month and a half by that time in New York. And also, of course, we’ll have some KPIs to share with all of you from the first few weeks of football season.
Stephen Grambling : Great. Look forward to the event. Thank you.
Jay Snowden: All right. Thanks, Stephen, and thanks, everybody, for joining the call. We look forward to speaking with you, many of you at G2E in Las Vegas in October and again talking to you in November on our next earnings call. Thanks.
Operator: This does conclude today’s program. Thank you for your participation. You may disconnect at any time.